Operator: Good afternoon. My name is Mike and I will be your conference operator today. At this time, I would like to welcome everyone to the Zuora Fiscal Q1 2019 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator instructions] I will now turn the call over to Joon Huh, Vice President of Investor Relations. You may begin your conference.
Joon Huh: Thanks, Mike. Good afternoon and welcome to Zuora’s first quarter fiscal 2019 earnings conference call. Joining me today are Tien Tzuo, Zuora’s Chief Executive Officer; and Tyler Sloat, Zuora’s Chief Financial Officer. The primary purpose of today’s call is to provide you with information with information regarding our first quarter fiscal 2019 performance and our financial outlook for our second quarter and full fiscal year 2019. Some of our discussion and responses to your questions may contain forward-looking statements. These statements are subject to risks, uncertainties and assumptions that could cause actual results to differ materially from those projected in the forward-looking statements. For a discussion of material risks and other important factors that could affect our results, please refer to today’s earnings release, our final prospectus related to our initial public offering filed with the SEC on April 12, 2018, and our other periodic filings with the SEC. During the course of today’s call, we will refer to certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP financial measures are included in our earnings release, which is available on our Investor Relations website at investor.zuora.com. I encourage you to visit our Investor Relations site, to access our earnings release, periodic SEC reports, a replay of today’s call or to learn more about Zuora. And with that, let me turn the call over to Tien.
Tien Tzuo: Thank you, Joon. Thank you. Let me start by maybe just how awesome it is and how truly excited we are to be here having our first earnings call as a public company. For those of you that Tyler and I had a chance to meet during the road show, let me say again, thank you for letting us share our story about Zuora and about the overall Subscription Economy. And of course, for those of you that are new to Zuora, welcome. Welcome to our journey. Welcome to joining our customers, our partners, our shareholders and a roughly 1,000 ZEOs worldwide that make up our Company. Welcome to a journey into the future. We’re really excited to share with you the results of Q1. We’re going to cover the Subscription Economy, we’re going to cover our Subscribed conference next week. We’ve got a book coming out that I am going to plug. And at some point we’re going to have to talk a little bit about porta potties. So, let me get into this. As we go through the results of the quarter though, I think it is one thing that I hope that you see. It’s that everything we talk to you about in the days and weeks leading up to our IPO, it’s all continuing to play out, all of it. First, of course, this is a big, big secular shift, which we call the Subscription Economy. It’s just continuing to march on. And we are more certain than ever today that one day every company, every industry around the world will all be part of this new Subscription Economy. Second, we continue to offer the only complete subscription management solution 100% focused on helping companies of all sizes launch, scale and transform into a subscription business. Third, we continue to believe that the changing expectations around IT architectures are creating once in a generation opportunity for us to build an enduring enterprise software company. And lastly for investors, for you, we continue to see an investment in Zuora as a portfolio play on this entire Subscription Economy. Now, let’s drill down on the quarter. In this quarter, we continued to see the world shift to a Subscription Economy. Everywhere you look, businesses are moving to subscriptions. They’re turning to customers and to subscribers and they’re building long-term mutually beneficial relationships that are the foundation of these new business models. Now, think about all the things that you now subscribe to. You can see it on your credit card statements. Subscription is not just for music or movies but also home security, doorbell systems, exercise by content paywalls and more. Maybe you need to subscribe to Katz Deli’s new subscription service to its world famous pastrami sandwiches. The list just continues to grow. Well, think about all the companies that you actually invest in, including all the recent and upcoming IPOs, DocuSign, Pluralsight, Pivotal, Avalara, they’re all subscription businesses and they’re all Zuora clients. Think about the Fortune 500 digital transformation projects that you continue to read about. Even traditional industries like travel and leisure, construction, real estate and apparel, they’re all turning to subscriptions for new growth opportunities. Now, because of this shift, we continue to see in this quarter great traction in the market globally for our solution. This is why our subscription revenues grew by 39% year-over-year. Our total revenues grew by 60% year-over-year. Our customers processed $7.2 billion in transaction volumes in our core billings platform. This represents a 46% increase year-over-year and we saw the strong demand really across all our worldwide regions. All signs are pointing to a growing Subscription Economy. In this quarter, we continued to demonstrate that simply put, we are the leading provider of software that enables any company and any industry to successfully launch, manage and transform into a subscription business. Legacy ERP systems are not equipped to handle the dynamic requirements that subscription business models demand. Let me give you an example. In Q1, we signed a deal with a European energy company. Now, this company could have used SAP, which is already heavily entrenched as their core ERP systems. But this company sees future growth coming from its new innovations, new platforms that provide things like smart lighting solutions, electric mobility services, having new sectors such as smart homes, smart cities, smart mobility services. So, rather than being seen these new initiatives held back by their existing ERP infrastructure, they chose Zuora for the agility and flexibility to support the new dynamic business models. It’s not just the ERP systems are inadequate, existing homegrown systems also cannot keep up with this constantly changing demand that comes with growth. In Q1, we saw a large utility company turn to Zuora to replace an outdated homegrown system that could no longer handle their business needs. They were tired of these legacy systems continuing to incur significant costs, create operational risks, with issues around outages, downtime, security, and also limit their business development efforts as it took nearly two years to bring new products to market. This simply was not sustainable. But through Zuora solution, they can now measure time to launch initiatives in months versus years. Now, all this means that increasingly we are the system of record for the customer, specifically the transactional data around the customer. SendGrid, which most of you know or perhaps you participated in a recent follow-on, they joined the Zuora platform eight years ago as a startup and scaled with our systems to become a publicly traded software company today. Now, we operate, Zuora operates as a single source of truth for tracking all revenue related transactions with the ability to access revenue and customer data, of course, in real time. Now, SendGrid is one of the past and future IPOs that leveraged Zuora to enable true revenue growth. In this quarter, we continue to see robust demand for our entire product line. You may remember that we had not one but two flagship products, Billing and RevPro and a growing family of add-on products. Let’s talk first about billing. Our flagship billing product powers the pricing and packaging strategies that drive company’s growth, while automating the recurring ordering, invoicing and questions processes. Now, to bring out how important billing is in today’s world, let’s talk about porta potties. Now, I never knew how dynamic the porta potties business could be. And so, this quarter we signed on a national events [ph] site and services business. It turns out that this industry is driven by long-term dynamic contracts. Now, imagine, you signed a contract to provide a part a construction company or a mining company with porta potties. The number of units continue to fluctuate up and down. There’s actually a usage based model, based on how many pounds or tons of waste that has to be processed. There’s always add-on products like fences, generators, or even showers. It turns out you can see this business as an example. It’d be generalized corporate services market, very similar to another one of our company’s called Quench which provides water to businesses. In fact, their ticker symbol is WAAS or Water-as-a-Service. Going back to the porta potties example, it turns out that the company’s existing systems were filled with manual order to cash processes, often including hand edits for changes in terms. This led to constant errors in the invoices and contracts, and the problem is just getting worse and worse with all the acquisitions they have planned. They initially of course tried to address these needs through Oracle solutions, but after a failed attempt with NetSuite, they turned to Zuora Billing because of our proven ability to integrate acquisitions quickly and scale in these highly dynamic and customized environments. Let’s switch to our second flagship product, RevPro. Now, you may know RevPro as the leading ASC 606 and IFRS 15 compliant revenue management solutions. But, the reason these standards now exist is because business models are only getting more and more complex. So, as an example, in Q1, we signed a manufacturer of electronic testing and measuring equipment. Now, for decades, this company sold products, equipments. And when we talked to them, this company just completed a huge upgrade to the latest version of Oracle ERP. But what’s going on now? Now, they want to move to a subscription model for testing and calibration as a service. And so, they found a complexity of these new business models coupled with all these new accounting standards drove all these new complexities around revenue recognition. How do I track performance obligations? How do I handle allocations for bundles of -- bundle offerings of hardware, software, and service contracts? How do I process data, not only from Oracle, but also Siebel and Salesforce into a single environment and all the while I need to do this while incorporating a sizable acquisition that I made last year. Oracle simply could not handle their needs. So, they turned to Zuora and our leading RevPro product to handle 100% of their revenue and meet these new compliance needs. Finally, about our add-on products. You may also remember that we offer a number of add-on products around coding, around collections, around analytics as well as over 100 applications in our connected [ph] marketplaces, things like taxes, payment gateways and more. While we’re still in the early stages of products, these new products like Collect, these add-on offerings combined with our ability to monetize our volume, transaction blocks, this is a core part of our business model strategy. In Q1, we continued to see a healthy mix of upsell activity resulting in a dollar based net retention rate of 112% in the quarter, in line with the 110% we saw in the previous quarter. We believe this range, call it 108% to 112% net dollar retention rate is where our business should naturally fall. Now, all of our products are underpinned of course by our Zuora Central platform. It’s a dynamic hub designed specifically to orchestrate and automate the entire subscription order to cash process. This is done for our six core engines including a pricing engine, subscription order, rating, global payments, subscription metrics and subscription accounting, all contributing to make our solution the system of record around the transactional data for the customer. Now, why is this important? Because when you look at our customers, and you see how they’re standardizing on a CRM system plus Zuora Central, plus an accounting system on the cloud, you could see an emerging three cloud architecture that modern companies are using to run these modern business models. Next week, we have our annual Subscribed conference, Subscribed 2018 here in San Francisco. We’re going to have a ton more exciting announcements around Zuora Central as well as all the products. Although we were unable to hold an analyst day so soon, after our IPO, Todd and I will try to make ourselves available if you are able to join us at the conference. So, what does this all mean? As I step back and reflect on our first quarter as a public company, here is what I see. In the last 90 days, we witnessed the unstoppable march of the shift to subscriptions across multiple industries. As a reminder, today, more than 50% of our customers are in non-technology industries including transportation, consumer services, business services, manufacturing, media and telecom. Existing solutions within ERP systems or homegrown systems, they simply cannot handle the needs of these new business models. And this is what’s continuing to drive our growth in the past quarters. Given the geographic and vertical reach that we have and the breadth of our solutions, we believe that we have the unique opportunity to build an enduring enterprise software company, one that we believe can deliver consistent long-term revenue growth of 25% to 30%, in line with the growing Subscription Economy. We view investment in Zuora as a portfolio play across the entire Subscription Economy. A bet on us is a bet on the Subscription Economy. Finally, this vision requires us to create an organization -- one that continues to attract top talent and sustains our unique ZEO culture as we continue to grow and scale. I’m proud to say that we continue to be recognized in this area. Zuora was a winner at the Annual Glassdoor Employees’ Choice Award recognized as a best place to work in 2018. And in this quarter, this recognition continued as we were named as a top company to work for in 2018 by the SF Business Times, by the Silicon Valley Business Journal and by Battery Ventures. We plan to continue investing in our people and building a world class organization as we grow. In summary, I feel really good about our business momentum in our first quarter as a public company. We delivered a strong quarter of results and I’m excited to see our story as the growing Subscription Economy continues to play out. I’m looking forward to being with you on the next step in our journey. Now, let me turn it over to Tyler, who will discuss our Q1 financials in more detail and provide a further outlook for our business. Thank you. Tyler?
Tyler Sloat: Thanks, Tien and thanks again everyone for joining us today for our initial earnings call as a public company. We are really, really excited if you can’t hear that in Tien’s teams voice. I want to echo Tien’s comments and thank everyone for your support. To our new public shareholders, we enjoyed meeting many of you on the road show and look forward to building a long-term partnership with you. We delivered a strong Q1 and we’re off to a good start to our fiscal year. Subscription revenue grew 39% year-over-year to $36.1 million, as we saw good demand for our flagship products. Subscription revenue comprised 78% [ph] of total revenue in Q1. Total revenue grew 60% year-over-year to $51.7 million. And non-GAAP operating loss was $13.6 million, as we continue to invest in and scale the business. Overall, we’re really pleased with the business momentum we saw this past quarter. For this portion of the call, let me start by providing a brief overview of our business model, then, I’ll cover our first quarter financial results, and finally, I’ll close with commentary on our forward-looking guidance for Q2 and our fiscal 2019. So, starting with our business model. As Tien mentioned, we provide cloud-based software that enables any company and any industry to successfully launch, manage and transform into a subscription business. We acquire customers through direct sales efforts, landing with one or both of our flagship products, Billing and RevPro. As customers grow, they can renew or increase their subscription levels for our products. Additionally, they can subscribe to other Zuora products and solutions. Given the mission critical nature of our solutions, professional services will often accompany a new sale to successfully deploy our solution. We provide these services directly or alongside one of our many partners. Our revenue model is structured to allow us to grow along with our customers. We charge an annual fixed platform fee with the different additions based on functionality. Customers can also purchase blocks of committed annual process transaction volume. And as customers increase, the use of our system, they typically purchase additional box of annual transaction volume. This variable pricing component allows our customers to only purchase what they need, while also allowing us to grow as our customers’ experience success. As Tien mentioned earlier, our core Billing transaction volume continued to grow in Q1 and reached $7.2 billion. Once customers are using our solutions, we can also expand our footprint through platform upgrades, cross sells, and up sells of add-on products. Our ability to continue to earn our customers’ business while also growing and expanding within our installed customer base can be seen in our net dollar base retention rate of 112% for Q1. It’s up 2% from Q4 2018. As Tien mentioned, this is a healthy rate for a business. And while we feel good about the increase in the retention rate, we are not expecting similar increases in future quarters, Tien mentioned 108 to 112, we think is a natural place to be. Looking at our customer metrics. Customers with ACV greater or equal to 100k increased from 415, at the end of Q4 2018 to 441 in Q1. The growth in this customer segment was driven by the continued demand from larger enterprises in addition to smaller existing customers increasing their ACV. These 441 customers represent over 80% of our total ACV as of April 30, 2018. Turning to our Q1 financial results. I’ll focus most of my discussion around non-GAAP numbers. These non-GAAP numbers exclude the impact of stock-based compensation, amortization of acquired intangibles and capitalization and amortization of internally used software. As a reminder, year-on-year comparisons also include the financial impact of a RevPro product which we began to offer following our acquisition of Leeyo on May 31st 2017. We saw strong revenue growth, solid gross margins and improvements in sales efficiency. Subscription revenue was $36.1 million and grew 39% year-over-year and maintained the same robust growth rate as the prior quarter of Q4. Total revenue was $51.7 million and grew 60% year-over-year. Professional services grew to $15.6 million or 149% increase compared to Q1 2018. The year-over-year growth in professional services was partly driven by contributions from the RevPro product which was not in our prior year comparison. As a reminder, professional services revenues primarily related to new business of one or both of our flagship products. However, similar to what we saw in Q3 and Q4 of 2018, professional services revenue in Q1 2019 included $1.4 million from existing ASC 605 customers upgrading to the ASC 606. We’re not expecting similar contributions in future quarters as the financial impact from existing customers upgrading their ASC 605 implementation to ASC 606 continues to fall off. There has been a decrease in that amount from Q3 to Q4 to Q1. Non-GAAP subscription gross margin for the quarter 76% and non-GAAP total gross margin was 54%. The non-GAAP subscription gross margin includes the impact from increased investment in infrastructure to support our growth. And we expect to see improvements in the second half of the year, consistent to how we think about the business model. Professional services was slightly profitable on a non-GAAP basis. Before moving to operating expenses, please note that year-over-year comparisons for expenses are also impacted by our Leeyo acquisition and will start to normalize in Q2. Non-GAAP sales and marketing expense was $21.2 million and grew 46% year-over-year, driven by investment in headcount, higher marketing expenses and increased commissions related to higher bookings. We continue to prove our sales and marketing efficiency as evidenced by the ratio of our last 12 months non-GAAP sales and marketing expense to the year-over-year increase in -- subscription revenue. When we talk about the efficiency of our sales and marketing expense, we measure that ratio. This ratio was 2.2 for Q1 2019 compared to 2.3 for Q4 2018 and 2.5 for Q1 2018. Non-GAAP R&D expense was $11.6 million and grew 50% compared to Q1 of fiscal 2018, driven by increase in headcount for new products and innovation. Non-GAAP G&A expense was $8.8 million and increased 97% compared to Q1 of fiscal 2018, driven by -- excuse me, additional investment related to our growth as well as cost related to the IPO process and operating as a public company. This all led to a non-GAAP operating loss of $13.6 million, which was better than our initial expectations. After including the impacts of interest expense, taxes and other items, non-GAAP net loss was $14.5 million and $0.32 per share. The weighted average common shares surpassing EPS was 44.9. As a reminder, the shares used for purposed calculating [ph] Q1 EPS includes our converted preferred stock and shares issued during our IPO since the date of the IPO. The fully diluted shares outstanding as of April 30, 2018 was approximately 121 million using the treasury stock number. Now turning to the balance sheet. We closed the quarter with cash, cash equivalents and restricted cash of $207.7 million, which includes a net proceeds of $162.2 million from our IPO. Deferred revenues at the end of the quarter were $68 million and grew 53% compared to $44.5 million at the end of Q1 of fiscal 2018. Now, calculated billings for the trailing 12-month period ending Q1 of fiscal 2019 were $210.9 million which increased 65% compared to $128.1 million for the trailing 12-month period ending Q1 of fiscal 2018. Professional services billing is generally aligned with professional services revenue. So, excluding professional services revenue as a proxy for professional services billings, our calculated subscription billings for the trailing 12-month period ending Q1 of fiscal 2019 was $154 million, which increased 48% year-over-year compared to $104.3 million for the 12-month period ending Q1 of fiscal 2018. Turning to the statement of cash flows. Net cash used in operating activities was $7.8 million for the quarter and free cash flow was negative $9.6 million. This compares to free cash flow of negative $9.1 million in Q4 2018 and negative $5.1 million in Q1 2019. Let me now turn to our guidance for the second quarter and full-year fiscal 2019. For the fiscal second quarter of 2019, we expect revenue to be in the range of $53.5 million to $54.5 million with subscription revenues being in the range of $38 million to $38.5 million. Non-GAAP operating loss to be in the range of $16 million to $15 million and non-GAAP net loss per share would be in the range of $0.16 to $0.15, assuming weighted average outstanding shares approximately 105 million. As a reminder, we acquired the RevPro product on May 31, 2017. In connection with the acquisition, the second cash payment of approximately $15 million will be paid this quarter. We’re expecting sequential increase in expense for Q2 which is partially driven by increased sales and marketing expenses related to Subscribed, our annual user conference, annual cycles and key office expansions. We also expect capital expenditures to increase in Q2 from facilities which will result in lower free cash flow. For fiscal 2019, we expect revenue to be in the range of $220 million to $223 million; subscription revenue to be in the range of $158 million to $159.5 million; non-GAAP operating loss to be in the range of $55 million to $52 million; non-GAAP net loss per share to be in the range of $0.62 to $0.59, assuming weighted average shares outstanding of approximately 92 million. In closing, we had a really good first quarter to start our fiscal year 2019 and our first quarter as a public company. The Subscription Economy is here and I’m excited about the many growth opportunities ahead of us. With that, let me turn the back to the operator as Tien and I are ready to take your questions. Operator?
Operator: [Operator instructions] Your first question comes from Stan Zlotsky with Morgan Stanley.
Hamza Fodderwala: Hi. This is Hamza Fodderwala in for Stan Zlotsky. First question was on, could you give us any sense for how much RevPro contributed to revenue in Billings during the quarter? And with ASC 606 going into effect this year, what’s the demand that you’re seeing with RevPro and how are you thinking about that product contributing to your results for the rest of the year?
Tien Tzuo: I’ll let Tyler -- this is Tien here, I’ll Tyler field the financial results, but let me speak to the products. ASC 606 was certainly a fantastic catalyst. It really put the spotlight on why revenue recognition is complex. We’re still seeing a big tail for that, but I think what really excites us about the market opportunity for revenue recognition is that the overall trend is not going away. What’s happening in the marketplace is, when you used to sell products on a transaction basis, revenue recognition was pretty simple. But more and more -- that’s now how businesses work. They’ve got these dynamic business models based around subscriptions, based around customers, based around services. And we see really long-term demand for more sophisticated revenue recognition solutions. And as the leading player in the market we’re truly excited.
Tyler Sloat: Yes. I’ll take the financials. We’re not breaking out the RevPro specific billings and revenue. However, we do see a lot of tailwinds in the business. Deferred revenue hasn’t come all the way through from what we purchased. But we are now looking at a lot of customers that have continued demand for both of our flagship products. We did talk about the professional services and I gave you those numbers, because I do think that’s important to see the trail off of the 605 to 606 customers that are upgrading. Because as we look at that as onetime as opposed to attach to a new business. But in general, we saw a strong demand for both products across the board.
Hamza Fodderwala: And then, one more follow if I may. On the 112% retention, that was quite strong. Could you help us break down how much of this was upsell from transaction volume versus additional-on adoptions?
Tien Tzuo: Yes. What we like about our strategy is as you know, our ability to create a really efficient growth model is based on our ability to not only track brand new logos, companies that are entering the Subscription Economy but also continue to drive growth within our installed base. And we’ve created really a multi-pronged strategy to do that. We have our add-on products certainly. We can cross-sell our two flagship products where you can start with Billing and you can come back and so, you, RevPro or vice versa and we have a set of data on products. Quarter-to-quarter that specific mix is going to be different and of course, the volume upsell, blocks as well as you put more transaction volume through our system whether it’s in gross volume or revenue recognition volume. The actual mix is going to change quarter-to-quarter, but I think our overall ability to continue to drive that 110%, 112% net dollar retention is going to be really from our ability to drive all the changes. And it’s synergistic. Having additional volume blocks creates an opportunity for us to come back and talk about. You have another needs, you have another needs around coding. You have other needs around collections revenue, recognition and invoicing And so overall that’s really what’s lot of this execute our strategy.
Operator: Your next question comes from Scott Berg from Needham.
Scott Berg: One question and then a follow-up, I guess. So, the first question, Tien, your win with the large utility company in the quarter I thought was interesting. I think, a lot of investors will take your product right now as being sold to companies that are going through a transition to an all business model to subscription business model. But, how much of your business opportunity right now is replacing some of these legacy billings that are out there? Because utilities seem to be kind of a specialized area, at least that’s how people think of it.
Tien Tzuo: Yes, I think it’s still early for us to start calling out we have a utilities vertical. I think, this tends to be regional as well. The level of deregulation, the level of competition across utilities will vary region-to-region. So, I think the macro level trends are saying customers’ expectations are different, customers want more control of their subscriptions, they want more options, they want to be able to draw things up, draw things down is really driving our overall market. And whether you’re looking at ERP systems like Oracle or SAP, whether you’re looking at legacy billing systems, utility billing systems, telecom billing systems or whether you’re looking at homegrown systems, they’re simply not going to be able to keep up the pace, change that new business models demands. And so, we’re pretty excited that really any company and any industry is something that we can serve. Which industries move faster and the Subscription Economy is going to fluctuate year-to-year, but right now we are pleased with the signs that we’re seeing from companies, not just in our three core verticals, our technology vertical, our media and telecom vertical, and our manufacturing vertical.
Scott Berg: Helpful, thank you. And then from a follow-up perspective, 26 customers that -- in the quarter that moved up to the 100,000 plus metric. Out of those 26, any color on how many of those actually came from upsells versus new customers starting contracts in that range? You guys talked about selling larger, bigger deals. Just trying to understand maybe how that dynamics playing out?
Tyler Sloat: Yes. I don’t think we break that out. And you’re absolutely right, that 26 numbers, some of those are going to be customers that started off below 100k that grew above that. And some of these are going to be new customers that entered over 100k. I would say this, I would say the reason we draw 100k line is not that we have a land and expand opportunity where we land with say five users, right, of a file storage product and grow up from there. Our systems, our projects tend to be mission-critical projects. The 100k line is really to allow us to peel off what we call our startup market, our Series A, Series B startups that are growing a subscription business, they’re venture backed. There’s a lot of dynamic nature, a lot of these companies. We’re hoping to grab the next box, next Pluralsight, the next DocuSign early. But for every box, every DocuSign, every Pluralsight there is going to be 5, 6, 7 other companies that don’t quite make it over time. And so, don’t think of that 100K as a land and expand, think of that 100K giving us an opportunity to break off that piece of the business which only represents about 20% of revenues. And not have a clutter up the big picture.
Operator: Your next question comes from John DiFucci from Jefferies.
John DiFucci: I had a question for Tien and just a follow-up for Tyler. Tien, annual revenue and subscription guidance was materially above where the Street was, and I realize the outperformance this quarter helps future quarters too because that’s how the subscription model works. But, are you seeing something else in your business? The business has been strong. But, is there something else you’re seeing here because at this point only one quarter behind you we estimate the annual guidance implies accelerated organic growth. And when we try to -- it’s imperfect, when we try to back out Leeyo -- it’s a good thing to have, but it’s stronger than we would have anticipated at this point. Any comments on that?
Tien Tzuo: Yes. We feel really good about the quarter. Certainly, you see that in results and I think you see that in the increased guidance that we are giving. We’re betting on a big trends, the shift to the subscription-based business models and as the only company that provides a full solution, 100% focused on this business, kind of a portfolio play on the Subscription Economy. That being said, we’ve always wanted to counsel, being conservative. The Subscription Economy is not something that just grows overnight. If you look at the software sector, Salesforce was created in 1999, and we’re sitting here 20 years later. And still a lot software continues to be sold as a licensed product, even when we know that the future of the software industry is going to be all subscriptions. And so, that’s why we’re thinking on a long-term basis that 25% to 30% growth is the right way to think about our business. In a short-term, right, certainly, we might see more companies that sign up in one quarter versus another. But from a long-term play standpoint, we do think that the way to think about us is a portfolio play along this long-term shift to a Subscription Economy.
John DiFucci: Okay, great. I thought maybe once that book hits the shelves, you might just see the Subscription Economy just take off again. But okay, that’s helpful. Tyler just to follow up on question about the net revenue retention increase. I’m just curious, have seen any change? You have cross-sell, you have up-sell, there is also the gross retention number. Has anything changed from the gross retention number, has that stayed about steady or is that improving a bit -- did that improve at all too because we’ve seen this number, the net retention improved last several quarters?
Tyler Sloat: John, I think, overall, we’re just continuing to execute. And everything is trending in a way it has been now for a couple of years. And so, there is no meaningful difference. I think, there is going to be some seasonality in terms of up-sells and compares on the dollar based net retention. That’s what we’re saying hey, guys, we think it is really around 110, 108 or 112 is kind of range that Tien gave, and we’re really comfortable with that. And we talked to guys a lot about that during the roadshow that we’re not going to be the 120. But it feels really good. There was no meaningful change either in terms of the mix of the up-sell that was coming from. There is just strong demand all the way around for both add-on products, the both flagship products and then volume. I mean, you can see the volume increase that we talked about over $7 billion of process volume in Q1. These are all positives across the board.
Operator: Your next question comes from Jesse Hulsing from Goldman Sachs.
Jesse Hulsing: Yes. Thank you and congratulations, guys. Tien, I’m curious what you’re seeing on ecosystem side, particularly with systems integrators, it sounds like there is a lot of activity, and it’s trending the way that you’d like. Are you seeing significant investment from the SI [ph] ecosystem and any numbers around consultants or where you think that’s going to go that would be super helpful.
Tien Tzuo: Yes. Thanks Jesse, thanks for the question. As you know, we have a direct sales model. And so, we will put one of our folks on every single transaction and hold ourselves accountable to making sure we acquire customer, we deploy them live and we get them successful. That being said, we do see the global system integrators as a really, really important. When you look at what’s driving our business, whether it’s around digital transformation projects where companies are realizing, it’s not just about changing the product but really changing entire business model and the relationship with the customer or on the RevPro side, the changing accounting standards. You’re going to see Deloitte, you’re going to see Ernst & Young, you’re going to see IBM, you’re going to see PriceWaterHouse, you’re going to see Accenture. And so, we continue to see these firms as really, really important partners. I’d say, today, they continue to be chasing probably the broader opportunities around ASC 606 assessments, reinvention of revenue recognition, digital transformation. They are very eager to do the deployment as well. And we will continue to partner and train them on that. But I’d say this quarter, this past quarter with just a continuation the trends that we saw in the previous quarters.
Jesse Hulsing: Yes. That’s helpful. And Tien, you made an interesting point, and I think we’ve all seen it in that software at some point in the probably will be all subscriptions or all recurring. And I’m wondering as you look at your growth and your new business in particular, how much is coming from the software industry versus I guess other industries?
Tien Tzuo: Yes. If you put the whole stuff [ph] together, it’s not just software, but it also includes the hardware companies, companies like a NetApp or a Cisco, we consider that our high-tech vertical and only about half of business overall revenues are coming today from that sector. And so, what’s really excited us and really we started seeing this trend just a few years ago, our companies, non-tech companies moving to the subscription based business models. So, the broader trend around cloud computing around mobile, once you break out a software, break out a digital IoT obviously is a big, big driver of that. And then, when you see crazy stories like for those of you in New York, Katz’s Deli saying they’ll ship you off pastrami every month for 1500 bucks, and for an add-on fee, they’ll even send two chefs out the car before you. You’ve just seen a big explosion of this. And that’s kind of why the reason I wanted to share the porta potties example. First of all, I think I just want to be the first person that ever said word porta potty on an earnings call. But, [indiscernible] when I heard that story. I was like, why would a porta potty company need us. But when you hear what they’re trying to do and you think, oh, I get it, it’s really a corporate services environment. You see really the potential of these new business models and the potential of what we can do in the marketplace.
Jesse Hulsing: Yes. And one last quick one for Tyler. You gave us customers over 100k, the sequential growth. Any chance you can give us the year over year growth for that metric?
Tyler Sloat: Yes. We didn’t get the year-over-year because, partially there’s -- it’s not really apples to apples because of the RevPro compare. But we really want you guys focus on how we’re doing each quarter now as we’re growing up. And that is annualized, it’s 25% to 30%. It’s consistent with what we think our overall long-term growth is going to be. And we plan to give that number every quarter as well.
Operator: Your next question comes from Richard Davis from Canaccord.
Richard Davis: Hey, thanks. So, one question is when kind of thing about the best thing about subscription business models is that you align customer and vendor incentives together. And to the extent that vendor doesn’t deliver, the subscriber churns off. So, the question that I’d have is like, so where are you guys now and where do you want to be in terms of on a customer of Zuora, in terms of kind of providing me with like anticipatory analytics that give me heads up as the vendor that my client might turn off. In other words, I can see usage or whatever, what are the things that you provide that help me manage that process better? Thanks.
Tien Tzuo: Well, Richard, I don’t know if you’ve got like people planting in my office. But, next week is our Subscribed conference and you’re actually right that after 10 years we’ve got an enormous amount of information about across industries, across geographies or across company sizes that what really contributes to success in the Subscription Economy, what are the big things that correlate to reduced churn or increased growth. And you’re going to see us starting to talk about quite a bit including next week at Subscribed. So, I know you’ve been able to make it every year for the last few years and hope to see you there in San Francisco.
Richard Davis: Be there this year too.
Tien Tzuo: Fantastic.
Operator: And there are no further questions at this time. I will turn the call back over to the presenters.
Tien Tzuo: Great. Well, just in conclusion, it was a great quarter. I think we’ve got -- it’s pretty exciting to have our first quarter behind us. I think, this quarter, you really just see a continuation of Subscription Economy. We continue to see brand new examples of companies seeing if I can just reinvent my business model, if I can go beyond selling -- seeing what I do as selling products and seeing experience of relationship with the customer and continue to grow that relationship at least to a much business model. And you’ve seen really this is what is driving our growth. We’re pretty excited. I’m glad you guys mention, glad you guys mention the book. We do think this a long term play, you’ve heard us before. But we do believe that this is the early innings of the Subscription Economy. This is a multi-decade shift. I think because we called it early, 10 years ago, we continue to be the only company focused on this. And our goal really is to -- if we could do a good job of helping companies shift to this economy, helping them be successful, it will lead to fantastic long term growth for us. And so thank you for joining upon this journey. And we hope to continue to see you down the street. Thanks a lot.
Operator: This concludes today’s conference call. You may now disconnect.